Operator: Hello, everyone. Welcome to Planet 13 Holdings 2020 Fourth Quarter Financial Results Conference Call. As a reminder, this conference call is being recorded on April 5, 2021. At this time, all participant lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for research analysts to queue up for questions. [Operator Instructions]. I would now like to turn the call over to Mark Kuindersma, Head of Investor Relations for Planet 13.
Mark Kuindersma: Thank you. Good afternoon, everyone, and thanks for joining us today. Planet 13 Holdings' fourth quarter 2020 financial results were released today. The press release, financial statements, MD&A are available on SEDAR as well as on our website, planet13holings.com. Before I pass the call over to management, we'd like to remind listeners that a portion of today's discussion include forward-looking statements. There can be no assurance that such information will prove to be accurate or the management's expectations or estimates of future developments, circumstances or results will materialize. As a result of these risks and uncertainties, the results or events predicted in these forward-looking statements may differ materially from actual results or events. Risk factors that could affect results are detailed in the company's public filings that are made available on SEDAR. And we encourage listeners to read those statements in conjunction with today's call. Forward-looking statements in this conference call are made as of the date of this call. Planet 13 disclaims any intention or obligation to update or revise such information, except as required by applicable law. It does not assume any liability for disclosure relating to any company mentioned herein. Planet 13 financial statements are presented in U.S. dollars and the results discussed during the call are in U.S. dollars unless otherwise indicated. On the call today, we have Bob Groesbeck, Co-Chairman and Co-CEO; Larry Scheffler, Co-Chairman and Co-CEO; and Dennis Logan, CFO. I will now pass the call over to Larry Scheffler, Co-Chairman and Co-CEO, Planet 13 Holding Inc.
Larry Scheffler: Good afternoon, everyone, and thank you for participating in our fourth quarter call. I'm thrilled to announce Vegas is back. While Q4 was muted due to seasonality and increased COVID restrictions during November, December, we've seen strength in Q1 with revenue of $23.8 million, which included an incredibly strong March, as Las Vegas continues to open. In March, we generated $9.7 million and at multiple new state single-day records, including five days of over $400,000 in single-day sales. Bob and I have been saying for a while that the pent-up demand for tourism, fun and all things, Las Vegas is overwhelming. As more vaccines get into more arms, we’d only see this title wave of demand growth. The State recognizes this and with the number of vaccines now delivered in the U.S., they plan to open up Las Vegas at 100% capacity on May 1. This means that after over a year of operating at 50% capacity or less and having our hands tied behind our back, our Las Vegas SuperStore will be back and better than ever. Diving into Q4, sales were impacted by the state decision to reduce in-store capacity limits from 50% to 25% across the city, resulting in less tourism during what is already a slow period of the year. Despite this additional obstacle, we still generated $20.1 million in Q4 revenue, 21.8% higher than the last year. That revenue was broken down into $15 million from the SuperStore, $3.4 million from curbside and delivery, $700,000 in 42 days from our Medizin neighborhood dispensary and $1 million from wholesale and up. The Medizin dispensary is quickly building back to where it was pre shutdown. We've seen consistent month-over-month growth in Q1 and are excited to see how it will perform, especially once the football season starts. Along with Medizin, our delivery and curbside have remained strong alternatives for locals, especially those that work on the strip. We're lucky that we've been able to make changes in both our building and parking lot to facilitate proper traffic throughput, which is impossible for most dispensaries in the State. This is a new and convenient way to shopping cannabis, especially when heading home after a long day at work. Looking at our 2020 results. We took share among local customers through our delivery, curbside pickup, wholesale and our new Medizin store. As the city reopens, we plan to maintain our new hard one local customers or picking up where we left off as the destination of choice for anyone visiting Las Vegas, bringing Planet 13 to new heights. On October 13, we announced the addition of non-cannabis retail continuing to build out the SuperStore. In addition to the non-cannabis retail, we are also doubling the dispensary floor, adding additional 40 points of sale and another entertainment feature. These upgrades will be ready before the end of Q3 2020 -- 2021.  With what we are seeing right now in March and April, the expansion of dispensary floor and extra points of sale are absolutely necessary and can't be done soon enough. As a reminder, we also set plan to upgrade all the washrooms and back-end facilities to support a club or consumption lounge. While it's still too early to know what will happen with the club or lounge, we're seeing positive movement on creating appropriate regulations into one Planet 13 to be a first mover in this new and exciting space.  Throughout the year, our team has swiftly and professionally adapted to overcome challenge after challenge. I couldn't be prouder of how they've risen to the occasion in the year where tourism dropped off approximately 55%. The Las Vegas -- in Las Vegas compared to 2019, we were able to grow revenue and maintain our Las Vegas market share, a true testament to the quality and hard work of each and every member of the Planet 13 team, and I can't thank them enough. With that, I'll pass it off to Dennis to discuss our financials.
Dennis Logan: Thanks, Larry. Before I begin, I'd just like to remind everyone that all numbers discussed on today's call are stated in U.S. dollars, unless specifically stated otherwise. So despite the additional COVID-19 challenges we had to overcome in Q4, the company generated $20.1 million in revenue, a 22% increase over the prior year, same period in Q4 2019. Q1 2021 saw a return to sequential growth as Las Vegas started to reopen and the tourists returned. The company generated $23.8 million in revenue in Q1 2021, including $9.5 million in March, our highest month ever. We expect continued strength in Q2 as tourism returns to more normalized levels and the State of Nevada reopens without any capacity restrictions on May 1. Gross margins in Q4 2020 were 37.1%. With the capacity limits across the strip reduced in November as part of the State's COVID-19 pause, the company had minimal -- had a minimal number of tourist customers during the last two months of Q4 2020. With practically all sales being made to local customers in November and December, who had always given a 20% discount to our gross margin, was well below the Planet 13 standard. We've seen this gross margin climb back up to the mid and high 50% range in Q1 2021, especially in March as tourism has returned. Our in-house branded products accounted for 23% of in-store sales in Q4 2020, and the company continues to expand its in-house product offering and is moving towards its goal of 50% vertical integration in Nevada. Sales and marketing expense was $621,000 in Q4 2020, down approximately $370,000 from the prior quarter. And this is mainly as a result of lower marketing spend, aimed at the tourist customer. We expect this number to return to a more balanced sales mix, targeting both locals and tourists for the balance of 2021 and expect to see an increase in spend towards the end of Q2 2021 as we support the opening of our Orange County SuperStore. The company spent $7.4 million on G&A in Q4 of 2020, up from $6.2 million in Q3 2020. This increase is related to the reopening of the Medizin dispensary and preparing for Orange County SuperStore opening. This trend will -- this will trend slightly higher as we fully staff up Orange County prior to opening a store, and is expected then to decrease as a percentage of revenue in the second-half of the year as we start to generate revenue from our Orange County location. As of December 31, 2020, the company had a cash balance of $79 million, up from $56.7 million at the end of September 2020. Cash increased over Q3 as a result of a $20.6 million bought deal financing and $15.9 million from the exercise of warrants, offset by income tax payments of approximately $7 million and $3.8 million spent on CapEx and licenses related to our new cultivation and expansion of the SuperStore. Since December 31, 2020, the company closed on an additional $53.8 million in financing, CAD $69 million in gross proceeds. We saw -- also saw the exercise of approximately 2.9 million warrants and 99,000 options that were exercised that brought in an additional $10.9 million in cash. As of today, we have approximately $142 million in the bank. And a reminder, our current outstanding growth CapEx commitments are about $8 million for the Orange County SuperStore Phase I build-out, $2 million for upgrades and additions at the SuperStore and our recently acquired Bell Drive cultivation facility improvements there. The balance of funds of approximately $132 million is earmarked for accretive M&A and other expansion opportunities. And with that, I will hand the call back over to Bob.
Bob Groesbeck: Thank you, Dennis, and good afternoon, everyone. 2020 was an incredible year full of challenges. But for Planet 13, 2020 was also a year of incredible improvement and accomplishments. We maintained share of tourists, took share of local customers, grew our wholesale and brands, opened our second Las Vegas dispensary and are well on our way to our first out-of-state expansion. In the wholesale market, we've gone from 8 dispensaries at the start of the year to 40 at the end of Q3 to 53 carrying our brands today. We now sell to approximately 70% of all dispensaries in the State. The cultivation facility we purchased in July has been fully transitioned to Medizin strains, increasing our supply of premium flower. We are still limiting sales of Medizin to just our 2 stores. It's proven to be a strong draw among locals and helps us attract customers and build basket size. Overall, in-house products were responsible for 23% of in-store sales during the quarter, up from 15% in Q4 2019. We continue to see a steady share of shelf gain based solely on customer demand. Unlike some other dispensaries, we focus and provide significant support for third-party brands sold at the SuperStore. Brands recognize the opportunity to build awareness that comes with having shelf space in the SuperStore and having our marketing support behind them, and are happy to partner with us. You may have noted our recent deal with Curaleaf Select. This is a fine example of the type of demand for brand building in this industry and how Planet 13 is helping to address that need. Outside of Nevada, our Orange County, California SuperStore, P 13 OC as we affectionately call it, is rapidly progressing. We're on track and on budget for a targeted opening around the middle of the year. We've released preliminary runnings at the store on our website, and we encourage everyone to again take a look. Like in Las Vegas, we are building a different level of entertainment and cannabis shopping experience. While a bit smaller than our Las Vegas operation, I think the store might even be better than our Las Vegas store, as we've been able to incorporate everything we've learned over the last 2 years into its design.  Leveraging on our experience, building out our delivery system in Nevada, we specially built our delivery hub to service the entire Orange County region in a way that is both efficient and will not impact the in-store experience. This includes separate loading docks that don’t impede traffic flow, and utilizing our ordering and delivery systems that we developed here in Nevada. We are coming close to our next set of expansions, adding both new SuperStores and neighborhood stores to our network and exciting tours focused markets remains our focus. We've weathered the storm, and our team has shown remarkable resiliency and execution throughout 2020.  I'll echo Larry's earlier comments, Vegas is back, and I'll also add that Orange County is not far behind. The explosion and demand we've seen in March makes me incredibly excited for this year. Our local-focused offerings, including our first neighborhood dispensary, our curbside and delivery programs are all performing well. We are also seeing tourism grow week over week. Our first out-of-state expansion is on track, and we have many more opportunities we're getting close to closing on. We've built one of the best retail experiences in America. And have a proven team in place and a balance sheet to go out and bring that experience to more markets across the country. And with that, I'd like again to thank everybody for participating on today's call. And I'd now like to ask the operator to end the call. Thank you.
Larry Scheffler: Sorry, so open it for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question is from Doug Cooper of Beacon Securities. Please proceed.
Doug Cooper: Good afternoon, guys. A couple of things. Just hope everybody is well. Let's start off with the G&A. $7.4 million in the quarter. Dennis, can you sort of segment that by the SuperStore? Sort of how much was your March for California and how much for Medizin? I was just trying to get to the -- to know what the sort of economics or 4-wall economics of the SuperStore were in the quarter? And what they may be in Q1, if you hit the gross margin going from 37% to, call it, mid-50s?
Dennis Logan: Yes. So Doug, let me get back to you and address that. I'll do your calculation, I'll come back to you with that.
Doug Cooper: Okay. Medizin, $700,000 revenue contribution for Medizin. Can you remind us when the door is opened for Medizin?
Larry Scheffler: December, right?
Bob Groesbeck: Yes Well, December 1, Doug – yes, this is Bob. December 1, we had a soft opening the last week-and-a-half of November. But – well, 1 is really the official start date. 
Doug Cooper: Okay. So you think that can get back up to sort of $15 million range in 2021, kind of like?
Dennis Logan: Based on -- yes, go ahead, Bob. 
Bob Groesbeck : No, it's trending very well. I'm very confident we'll get to where we were before we closed that in November of 2018.
Doug Cooper: Okay. In terms of basket size, where do we sit in the quarter?
Dennis Logan: In Q4? Or are you talking Q1, Doug?
Doug Cooper: Both, so you have them.
Dennis Logan: Yes. So Q4, obviously, local customers, bit of a 20% discount on most things. So we were down from the previous high. Like October, we were $124 a ticket, and I think we were down in that 95% to 99% range in November, December, and we've trended now back up above that in March on a consistent basis. So it's -- we're getting back to where we were before in that, with the stimulus checks coming in, people showing up again, tourists back, that average ticket has continued to climb through the month of March and into April.
Doug Cooper: So let’s just assume December, you sort of alluded to the fact there wasn't many tourists at all, let's say, it's seasonally slow period anyway in Vegas. By the time you move to March, what percentage of your shoppers were tourists, you think, in March?
Dennis Logan: Bob, would you pick on that? Well, I don't have the detail, but I think it's greater than -- greater -- well, it was approaching 50% probably in March?
Bob Groesbeck: No, no. I was going to say we're right probably in the high 50s right now. Keep in mind, Doug, the town is still officially at 50% of occupancy for those, but the hotel rooms that are open are fully booked.
Larry Scheffler: And it depends on what day of the week we're looking at a Friday, Saturday, we could be 80% tourists showing on the Friday, Saturday. And then during the week, the local pick up more, and they tend to shy away when we get so busy on Friday, Saturday.
Doug Cooper: Right. I just want to confirm one thing -- go ahead, Larry.
Larry Scheffler: We're still looking up to -- two weekends ago, I think on a Friday, we had 4,400 people buy in one day, come through the store.
Doug Cooper: Okay. Just to confirm, Dennis, what you said…
Dennis Logan: Go ahead.
Doug Cooper: I just want to -- so gross margin 30 -- whatever it was, 37%, 38% in Q4. You said, for Q1, it was up in the mid to -- mid 50s? Or was that for March?
Dennis Logan: Yes. For March, we're back up in the mid to high 50s. And for Q1, we were well above where we were in Q4.
Doug Cooper: Okay. Okay. Would it be in sort of the high 40s for the first quarter then?
Dennis Logan: Yes. I think -- so I think we'll probably exceed the 50%, but we'll have to see in the next couple of weeks as we work through our Q1 numbers, Doug.
Doug Cooper: Okay. And just the vertical integration and the strategy with the acquisition you made for the cultivation in Las Vegas. Bob, I think you alluded to the fact that it's fully planted with the Medizin strains. When would you expect that to start impacting gross margin?
Bob Groesbeck: Well, I think it is now, Doug, as more and more product rotations come through. I mean we're seeing that benefit now. And Dennis, I'll let you talk to the specifics, but we're very pleased with the turnaround. It's actually ahead of schedule.
Dennis Logan: Yes. I was going to say the same thing, Bob. We are now, Doug, seeing that benefit both through the – our sales of premium flower, which is growing as a percentage more in line with the rest of the product offerings we have and then our ability to use all of the trim from that location in our concentrate products and vape pens, et cetera. So we're very pleased with the progress that we've made at the W Vapes facility and getting our strain into that building. I mean part of the problem was that building -- certain strains do better in that building than others. And so we've moved all of the strains that are optimized for that type of growing location. And so we're starting to see the yields now trend back well above where they were when we acquired the facility so.
Doug Cooper: Okay. So the goal of 50% of your own products, when do you think you'll breach that? And you're just talking about Nevada, I'm assuming, not corporately with...
Dennis Logan: Yes, yes, yes. Exactly. Just talking about Nevada. I mean I'd like to be there by the sort of end of Q3, going into Q4. It's going to depend, obviously, the more tourists to come back, the more we can push our own products. And so I think as we see the city reopen, we'll see that continue to expand.
Doug Cooper: Okay. And the final one, just on the lounges. Bob, you sort of alluded to the fact that there might be some movement along those lines. Can you elaborate a little bit?
Bob Groesbeck: Well, the good thing is there are multiple parties at the table now, unlike the last session, where really there weren't many, particularly in our sector, engaged in the conversation. So this is sort of where they make the sausage, and it's not a pretty experience. But I'm encouraged from the standpoint that, again, there are multiple parties at the table, looking to find a solution. How gaming comes into the picture? We don't know yet. But I think everyone recognizes now that there's a critical need to fill this void, that tourists can come into the city and legally purchase products, marijuana products, but can't legally use them anywhere in the strip corridor. And with that recognition, now there's a meaningful talk of a solution. So it's a toss-up. I can't predict what's going to happen, but I can tell you, we're way ahead this session than we were two years ago.
Doug Cooper: Okay. Great. That’s it for me. Thanks, everyone.
Bob Groesbeck: Thanks, Doug.
Operator: Thank you. Our next question is from Bobby Burleson of Canaccord. Please proceed.
Bobby Burleson: Hey, guys. So just being following up on the last question, bills 235 and 341, conversion of medical to adult-use and consumption lounges. Any idea when we can expect incremental updates on the progress, any key milestones that will kind of let us know that it's getting done in your favor?
Bob Groesbeck: So Bobby, this is Bob. And I apologize, I missed the first part of your question. I was turning back into the room. If you could repeat that, I'll be happy to get you an answer.
Bobby Burleson: Yes, just curious about Bill 235, the conversion of medical to adult-use stores and if that looks like for your medicine asset and kind of likelihood a bit going through?
Bob Groesbeck: Well, the Bill has got a lot of problems. So kind of put it out there the most base explanation. It's basically an end around effort to double the number of licenses. And I don't think it's -- although there is support, obviously, there were sponsors significant enough to get a bill draft out. There's a lot of opposition. And I think people now are recognizing for what it was or what it is. It's just -- it's an attempt and around -- doing an end around on the licensing process. Whether it's cleaned up and whether they can bring some sense to the Bill? I don't know at this point. But things are moving quickly. I can tell you that. So we've got 120-day session here in Nevada. So they'll either get it done by June or won't get done.  So right now, in the last draft, I saw the Bill, my prediction is that will not pass. Again, if there's meaningful revision, there might be an opportunity to see something come out of it.
Bobby Burleson: Okay. Great. And then in terms of your kind of long-term goal of maintaining 8% to 10% share of Nevada sales, how should we start thinking about wholesale? That's becoming more meaningful for you. I think you said 53 dispensaries, 76% of the network there in Nevada. How does your share look when you factor in that wholesale presence?
Bob Groesbeck: Dennis, do you want to jump in on that?
Dennis Logan: Yes. Sure. So Bobby, it's Dennis. I mean so we definitely want to see that grow. Historically, we've been closer to 10%. And obviously, COVID hit, the levels are down. We're focused on tourists. I think it comes back. I think we'll be above the 10% -- probably 10%, 11% in the wholesale component of that. We'll add to it. I mean, we're hoping that it continues to grow. Right now, I think we're running in there about 1 million in the quarter, I'd like to see that significantly increase in terms of revenue. So what it looks like in total with the wholesale in it? We haven't given any guidance, but I definitely think we'll get back above the 10% in that 10%, 11% range.
Bobby Burleson: Okay. Great. And then in terms of timing of the home delivery ramp in Orange County, is that launching simultaneously with the store in short order after the midyear launch? And is that a slow ramp or a fast one?
Bob Groesbeck: Yes. So Bobby, it's Bob. Our goal -- I mean, ideally, I'd like to open delivery before we open the SuperStore itself. Again, there are a lot of timing issues involved here. But it may be at or about the same time we opened to the public at the facility, but it is going to be a steep ramp up. We're making the commitment to have a fleet fully mobilized and fully staffed. So we're going to come out both barrels blazing as soon as that thing opens.
Bobby Burleson: Okay. And then we have kind of an idea of what could happen with margins as you bring on additional cultivation, production through M&A in California in terms of becoming more competitive with other players in home delivery?
Bob Groesbeck: Right. Well, we're obviously looking at cultivation and production opportunities as well. I think Larry and I, and Dennis, we’re all -- we are like-mind that we want to be an integrated operator there. Obviously, that helps us on our margins. But it helps us also control our product lines and our supply. So we're actively looking at opportunities over there. So -- and fortunately, there are a lot of stressed assets in both the cultivation and production space to give us an opportunity.
Operator: Our next question is from Greg Gibas from Northland Securities.
Greg Gibas: Good afternoon, Larry, Bob and Dennis. Thanks for taking the questions and great to hear about the strong margin and revenue. I guess -- first follow-up on the tourist uplift that you saw in Q1. I know this was already talked about, but just a follow-up. I think, Bob, you last mentioned, you're kind of seeing it at the high 50% right now, is where tourists kind of fall. How should we think about that maybe compared to what Q4 was roughly?
Bob Groesbeck: Dennis, do you want to jump in first?
Dennis Logan: Yes. So Greg, it's Dennis. I mean we look at Q4, we had -- the COVID pause went in reducing the capacity, basically 25% from 50% early November. So October was trending much like it was for us through July, August, September, October were all strong months, month-over-month growth, lots of tourists, still not the same number that we're getting pre-COVID shutdown, we were sort of $55,000 a month total customers. And then through November, December, you saw that drop off substantially from a tourist perspective and the local traffic pick up a bit. But overall, obviously, down. And then that COVID pause continued through January, February, really didn't see the lift come back until March when the stimulus checks started going out and people started coming back to Vegas. And now with the planned reopening and no capacity limits starting May 1, we expect the floodgates to open and people to come and droves back to the dispensary and back to Vegas. So I think we'll be well north of that 50% as we go move towards May.
Greg Gibas: Sure. Sounds good. I guess I did want to follow-up, just given the strong balance sheet, too. If there is any update you can provide us on the attractive opportunities that you're seeing in other states? Have any of these falling through? Or I guess, some looking more attractive in any way? I know you can't share too much, but maybe how have multiples or anything you can share, how have they trended during your search process?
Dennis Logan: Well, if I look at a couple of the states, obviously, there have been some deals announced. If I look at Massachusetts in that -- the recent deals have been done in that marketplace in the 4 times to 6 times EBITDA range. I mean we're seeing stuff in that ballpark in certain markets, slightly more expensive depending on how big the operations are if they're multistate, if it's single state, if it's fully vertically integrated. So we're seeing opportunities across the board, as Bob mentioned, in California, both retail production and cultivation in California, vertical and other markets, single state vertical, multistate vertical. So it's going to depend on how big the operations are and what the footprint is in terms of what that multiple ultimately looks like. But I'd say for a single state, scenario, we're not far off that 4 times to 6 times.
Greg Gibas: Okay. Great. That's helpful. And then I did want to follow-up, too, regarding the timeline, I guess, of doubling the dispensary sales floor to add, I think it was 40 points of sale and then an additional entertainment feature. Larry, I think the last call you talked about even potentially expanding the sales floor further -- post -- once the COVID pandemic is gone, and we're back to 100% versus the 50%, which we now have a little bit of visibility on. But have any of the updated plans or thoughts, I guess, into the sales floor expansion? Anything you can share there or whether that makes sense regarding the updated timeline?
Larry Scheffler: Well, currently -- pre-COVID, we were -- had less than 3% of the tourists coming to our store. As we double the size of it, add 40 more cash registers, it will be less than 6% of the tourists. And if we double that again, they got 120 cash registers, which I predict in 18 months, we will be looking at it again, but that's just me. We'll still have less than 12% of the tourists that will be fully built out with 120 cash registers. With all of that said, that's really the biggest expansion in profit margin and growth, we're going to see even more than wholesale is the square footage enlargement of the dispensaries, I mean, of the dispensary here in Las Vegas. So I'm expecting huge jumps. And we've had such good success and it started getting so crazy, letting everybody know with Internet searches with people doing Facebook and social media is after they come here and saw their experience. It was just blowing up when COVID started. So we still ask people throughout the store of what is going on. I mean -- and where have they heard about us and why did they come to see us? And it's always been either a Google search or up-rental them, they got to see it when they get here. So again, we're seeing on the Friday, Saturday, a 100 people in line, an hour wait. And again, why we decided to double the size in COVID, is because 25% to 30% of our customers as we're doing our surveys on unlike weekdays, Friday, Saturday, we're leaving the lines and going to our competitor across the street, which I don't blame them by heat lines also when I got to wait an hour to get weighted on just because we're that jammed up. So it will keep expanding, but we've got to do it right away to get the people in and out.  And again, we're going to give them another experience. There are actually going to be 2 more experiences probably by the time it opens that for entertainment, again, which more reasons to come and see what's going on next in Las Vegas.
Greg Gibas: Okay. Great. Yes, look forward to any updates there. But yes, that makes a lot of sense to me. And I did want to follow-up too on -- and I apologize if you already talked about this, but your ability to expand wholesale and then contract manufacturing, I guess, just in Nevada right now. If you think about -- I think you said now selling to 70 dispensaries in Nevada, do you see additional growth coming from going deeper, I guess, with those current dispensaries or maybe adding additional wholesale partners. Where do you think that number can go? And then just to make sure, I guess I had it right, did you break out revenue from wholesale and then the revenue from Medizin, even though, like you said, it was 1 month out of the quarter?
Dennis Logan: Yes. It's Dennis, Greg. We did break out the revenue. And I think in Larry's comments, he talked about it in the MD&A in terms of the $20.1 million for Q4 fully broken out -- if I can -- give just a minute, I will offline it back to -- I'll get it back for you on that front. And what was the second part of your question, I’m sorry?
Greg Gibas: Just kind of where you see additional expansion from wholesale companies....
Dennis Logan: Oh, yes on the wholesale piece. Yes. Yes. So we were seeing of the dispensaries we're in, there are obviously some that are performing better than others. We're seeing big reorders on the ones that are focused on pushing quality brands, and we're seeing others start to dabble and try the product. So we see some decent success in that throughput selling and the reordering. We have a lot of capacity right now in that production facility. I think we're still only running one shift, and we were able to supply all our own needs and all the needs of the wholesale channels right now. We have looked at contract manufacturing. We've been approached by brands trying to get into Nevada. And I think it will play well for us if we can offer that contract manufacturing and the dispensary experience for up to 50% of our revenue. That's sort of our target. So we're kind of leveraging both fronts to -- on that contract manufacturing side. So I think we've got lots of room for expansion there. It's just slow and steady, don't want to flood the market. We want to make sure that the throughput selling is happening across the network, and that seems to be the case with the reorders we're seeing.
Bob Groesbeck: So, hey, Greg, this is Bob. Let me just add to Dennis' comments that we're also expanding the array of products that we're offering out to our retail partners. And so, we've got some really exciting additions to our brand portfolio that will be hitting the market here over the next 60, 90 days that we think are going to help us capture additional revenues...
Dennis Logan: And then, Greg, just to follow-up on that point. So in Q4, the $20.1 million in revenue, $15 million was from in-store at the SuperStore, $3.4 million was curbside and delivery, $700,000 was the Medizin neighborhood dispensary, that's kind of for 42 days of operations. And then we had $1 million from -- in wholesale in the quarter of Q4.
Operator: [Operator Instructions]. Our next question is from Adam Altberg of Bank of Montreal.
Adam Altberg: Great numbers slogging through some really challenging times, so congrats to the entire team there. I have a couple of questions for you guys. And they have to do more, I guess, with the macro forward-looking approach, and I'm not asking specifically related to Planet 13 forward-looking numbers. It's more so around Vegas and expansion. And I know a couple of the other guys touched on it briefly. So one item you mentioned, Larry, I think that you said Vegas is slated to reopen to a 100% starting May 1. And we saw, as an example, the Texas Rangers, I believe, their baseball home opener was open a 100% to fans. Is there any guidance because I'm very interested in that additional Vegas traffic that is -- that we've talked about for a while to come both through the football, through the NFL season and, obviously, as well through any, for lack of a better term, I guess, like Live Nation. I don't know who controls that stadium in terms of live events. But have they given you any type of guidance in terms of what stadium capacity and availability might look like given what you said about May the 1st and a 100% opening?
Bob Groesbeck: So Adam, this is Bob. Larry just stepped out for a second. But let me address that to the extent that I can. The May 1 date obviously is we're all excited about. But this is, of course, COVID and things can change on a moment, as we all know. What I'm encouraged about is I'm now seeing venues open, albeit at a reduced capacity. But nonetheless, opened, every day, we're seeing announcements. So I'm seeing shows, for instance, now that are 25% to 35% capacity, restaurants now 35% with indoor dining.  Then as far as the larger venues, the stadiums, like Allegiant Stadium, for instance, there's a large concert that's been promoted or postponed 3 times, a country Western star, who was the inaugural act open the stadium -- and Garth Brooks. So I saw recently, I think it was like a week ago, they put an announcement out and said, yes, they're going to now have the show on June. But of course, with an asterisk in a caveat, that the level of attendance is to TBD. They just don't know how many people they're going to have in the venue at that time. So we don't really have any guidance beyond that. We're just following the directives from the government officials. And as those events get closer to their active dates, then, of course, we expect to get more information.
Adam Altberg: Okay. Great. Understood. Second question, the expansion of licenses in the State of Nevada, are you -- or have you guys been able to sort of get a head start on establishing relationships with some of the competitors or not necessarily competitors because, obviously, it's a large State. But with some of the potential parties that might win a license and getting ahead of that to make sure that you're establishing a wholesale relationship or potential wholesale relationship once those are awarded?
Bob Groesbeck: Well, it's a great question. And yes, we are. We're actively quarting cording current license holders. And we don't know who the new licensees will be. But when that materializes, if it does, we'll actively cord them as well. And it's a big State geographically, but it's a very small State with respect to our industry. And so we're constantly looking to forge relationships and to expand our wholesale offerings into our competitor stores. But it's in flux now, Adam. We don't know. As was mentioned earlier, we've got a couple of bills out here in our current legislature for the current session, rather, that are basically attempting to potentially double the number of licenses in the State. We can have a discussion whether that's good or bad, but probably shouldn't right now. But I can assure you, if it's 10, 20, 30, we'll be knocking on their doors. And it's our expectation because of the quality of our products that we will be in those facilities.
Adam Altberg: And last question, if you are able to -- I would -- obviously, out of all negative or -- sorry, out of negative situations afford some opportunities and there are some key rec legal states that I know or that you guys have indicated, I should say, historically, are on your sort of hit list, and out of the pandemic, I'm sure that you guys have been presented with or have seen some prime locations of real estate that have become available due to the pandemic. Now as far as some of the other guys, they did touch briefly upon expansion. What I am seeing is, I believe that the window is rapidly closing, especially since -- according to the government, you're vaccinating over 20 million people a week, the window is rapidly closing, if it hasn't already closed on some of those prime real estate locations. So have you been able to even lock down or sign LOIs or anything along those lines to acquire some key locations, let's say, in Illinois or obviously, now New York is going legal. So maybe you can just touch on that topic?
Bob Groesbeck: Well, yes, Adam. We are looking in just about every adult-use market right now for opportunities. And all I can say is we've identified some fantastic real estate, and it's another thing now to identify the operator to either bring them into the tent as in a merger situation or just an outright purchase, we're doing that. And now that the borders are opening up, we can fly. We can drive. We're actively engaged in those opportunities. We're really excited about where things are going. I don't -- it's just the opposite for me in my experience. I think last week, I put about 6,000 miles in air and another 1,000 miles driving, looking at deals. And there's plenty of opportunities. And closer to home in California in particular, Adam, there are a lot of assets out there that are now in play that weren't 3 months ago. So we're spending a lot of time doing a deep dive, trying to find opportunities that complement our portfolio.
Operator: Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.
Bob Groesbeck: Thank you.